Operator: Ladies and gentlemen, thank you for standing by and welcome to the Sixth Street Specialty Lending, Inc. Q1 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker, Ms. Cami VanHorn, Head of Investor Relations. Please go ahead.
Cami VanHorn: Thank you. Before we begin today’s call, I would like to remind our listeners, that remarks made during the call may contain forward-looking statements. Statements other than statements of historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results, and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Sixth Street Specialty Lending, Inc.’s filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. Yesterday after the market closed, we issued our earnings press release for the first quarter ended March 31st, 2022 and posted a presentation to the Investor Resources section of our website, www.sixthstreetspecialtylending.com. The presentation should be reviewed in conjunction with our Form 10-Q filed yesterday with the SEC. Sixth Street Specialty Lending, Inc.’s earnings press release is also available on our website under the Investor Resources section. Unless noted otherwise, all performance figures mentioned in today’s prepared remarks are as of and for the fourth – first quarter ended March 31st, 2022. As a reminder, this call is being recorded for replay purposes. I will now turn the call over to Joshua Easterly, Chief Executive Officer of Sixth Street Specialty Lending, Inc.
Joshua Easterly: Thank you. Good morning, everyone and thank you for joining us. With us today is my partner and our President, Bo Stanley; and our CFO, Ian Simmonds. For our call today, I’ll provide some highlights of this quarter’s results and pass it over to Bo to discuss this quarters’ origination activity and portfolio. Ian will review our quarterly financial results in more detail. And I will conclude the final remarks before opening the call to Q&A. After market closed yesterday, we reported first quarter financial results, the adjusted net investment income per share of $0.49, corresponding to an annualized return on equity of 11.6% and adjusted net income per share of $0.56, corresponding to an annualized return on equity of 13.2%. As discussed in previous quarters, at quarter end, we had approximately $0.21 per share of cumulative accrued capital gains incentive fees on the balance sheet and approximately $0.13 cents per share of this amount would be payable in cash if our entire portfolio were to be realized as at quarter end – marked in normal course. The remainder of that accrued fees are tied to unrealized gains from the valuation of our debt investments, inclusive of call protection, which if prepaid would recognize – would require recognition of fees and investment income and trigger reversal of previously accrued capital gains incentive fees related to these investments. This non-cash expense which was not paid or payable was approximately $0.02 per share for Q1. From a reporting perspective, our Q1 net investment income and net income per share inclusive of these accrued capital gains incentive fee expenses was $0.47 and $0.54, respectively. This quarters’ net investment income reflects continued strength in our core earnings power of our portfolio, above the guidance – we provided in our last earnings call. Net investment income was supported by our fee coming from our portfolio activity alongside interest and dividend income levels driven by a sustained portfolio yields. The difference between this quarter’s net investment income and net income was a result of net unrealized gains primarily from portfolio company specific events. Looking ahead, we are facing an operating environment which has changed significantly over the last few months. Increase in inflation, rising interest rates, geopolitical factors  impacts from the global pandemic will certainly present a headwind for the US and global economy. However, similar to our positioning heading into the uncertainty of COVID in early 2020, we have invested in a high-quality durable businesses on the asset side, we maintain the discipline approach to building and maintaining liquidity inclusive of understanding of our unfunded commitments on the liability side. We further enhanced our liquidity profile during the quarter through extension expansion of our existing revolving credit facility, which Ian will discuss in further detail later on the call. From a macroeconomic perspective, the impact of the interest rate environment is on top of mind. Although we saw meaningful upward movement in interest rates during Q1, we haven’t seen the impact yet on our financial results for two primary reasons. On the asset side, the floors are debt investments act is downside protection of falling rate environment, which we had seen up until recently. In arriving environment as we experienced in Q1, our floors mass impact of an increase in total reference rates rise above our average floor levels. Once through our floors, we are able to benefit from the asset sensitivity of our matched floating rate exposures. On a liability side, our weighted average cost of debt outstanding remain relatively flat for this quarter given the mechanics of how the swap contracts of an unsecured liabilities are reset at the end of the preceding quarter, resulting in a one quarter of  rates impact on our income statement. Given the speed at which – interest rates have risen to-date, the increase we expect to see, the weighted average cost of debt will be offset from the asset side as reference rates rise further above our average for us in 2022. Although we anticipate the rising interest rate environment to play out fair void as a lender positioned to benefit from the positive asset sensitivity of our balance sheet, we also are very cognizant of the potential impacts on our borrowers. Today, if this coverage remains strong across our portfolio companies, you know we’re confident in the  we have underwritten. As we said in the past, we are focused on investing on top of the capital structure and high-quality businesses and industries that we like and know well. At quarter end, net asset value per share was $16.88 a $0.15 per share or 1% from pro forma net asset value per share at year end of $16.73. This growth was primarily driven by continued overearning of our base dividend and net unrealized gains from investments. Over the trailing two-year period, reported net asset value has increased by 8.4% and in a total of $5.94 of distributions have been distributed, resulting in total economic return book value of 46.5%. Yesterday, our Board approved a base quarterly dividend $0.41 per share to shareholders of record as of June 15th, payable on July 15th. Our Board also declared a supplemental dividend of $0.04 per share relating to our Q1 earnings – related to our Q1 earnings to shareholders of record as of May 31st, payable on June 30th. Our Q1 ’22 net asset value per share pro forma for the impact of the supplemental dividend is $16.84. We estimate our spillover income per share was approximately $0.50. Before I pass it over to Bo, I wanted to note on April 8th, Fitch Rating agencies published their annual review of BDC sectors – the BDC center, we are pleased to share Sixth Street Specialty Lending received a one notch ratings upgrade from BBB minus to BBB flat with a stable outlook. Of the 16 firms in the  , TSLX is the only firm to receive such an upgrade, there’s only one to be seen as a holder ratings for Fitch and Fitch reported the upgraded firms are decade’s worth of strong consensus performance, supported by our sector leading returns. With that, I’ll now pass it over to Bo to discuss its quarterly investment activity.
Bo Stanley: Thanks, Josh. I’d like to start by sharing some observations on the broader market backdrop, in particular, the inflationary environment an upward movement in ratings since our last earnings call in February. These macroeconomic factors, coupled with Russia’s invasion of Ukraine, led to heightened volatility and uncertainty in the financial markets during the quarter. Public markets reacted quickly with equities and high yields ending the quarter down 4.5% for the S&P500 and 4.6% for the US High Yield Index, representing their worst quarter since Q1 of 2020. These fluctuations in the public market – markets ultimately lead to a period of price discovery for private buyers and sellers, resulting in a slowdown in M&A activity in Q1. As we’d expect the decline in M&A activity was matched with muted leveraged loan volume relative to historical periods. These trends compared across the middle markets where new issue loan volumes were down 51% from a year ago. Low volumes were also driven by issuers taking time to reconsider the immediacy of the capital needs, reflecting the widening of first lien and second lien spreads by a peak of 47 and 124 basis points, respectively through mid-March. At quarter end, there were some reversion of spread movement with first lien and second lien spreads, 31 and 5 basis points tighter than their   respectively. With more volatility likely ahead, we expect to see buyers looking to the private markets as an alternative to cap traditional capital markets, leading to opportunities where we can provide our differentiated capital solutions and expertise. Pivoting now to the inflationary environment, if we take a step back and look at what is driving the price increases, much of this can be explained by the scarcity of certain goods, raw materials and commodities. Over the last 6 to 12 months, we’ve seen the impact across several sectors such as real estate, automotive and energy, as demand that exceeding supply in these industries driving up prices for the consumer. Given we have low exposure to these industries that are heavily weighted towards software business services, we generally haven’t seen margin compressions or supply chain issues thus far impacting our portfolio companies. Demand has also been strong as a consumer sector has benefited from high wage growth and prior fiscal transfers from government support provided throughout COVID. Household wealth has soared on the back of strong house price increases and prior equity gains. With rent growth demand for services increasing post-COVID, the longevity of higher inflation will be – that higher inflation will be key to the outlook. We continue to monitor and construct our portfolio with inflationary pressures in mind. Turning to portfolio activity. Our commitments in funding slowed in Q1 after a busy 2021, totaling $79.3 million and $52.8 million, respectively. This was distributed across two new   existing portfolio companies. Our new investments this quarter were both first lien loans in the software services space and businesses providing value-added technology and solutions. We were also active during the quarter by supporting our existing portfolio companies on their strategic growth and capital needs, including our new investments in Lucidworks, 71% of this quarters’ funding served our existing borrowers. In terms of new borrowers, we closed $130 million senior secured financing alongside Sixth Street’s European direct lending fund just before the acquisition of Unily by JVC growth. Unily is a provider of employee experience software with strong recurring revenue base and low historical churn that has a large addressable market. We believe that our expertise and experience in this sector allow us to move quickly and provides certainty to borrowers amid strong competition with direct lending space. On the repayments side, there are $144.4 million of pay downs across five, four and three partial investment realizations. Two of our realizations were upstream E&P companies in the energy sector for Verdad Resources and MD America which made up 26% of pay off activity during the quarter. We’ll briefly highlight these two investments as an example of our capabilities in the Sixth Street platform. Our investment in Verdad was in the form of a $225 million term loan facility that we so led in  sourcefire energy team and reflects our opportunistic investment approach, providing first lien reserve based loans to upstream companies that provide a strong risk return profile. Since our investment in 2019, the company’s credit profile improved materially due to the attractive development returns, in an improved commodity price environment, ultimately allowing the company to refinance through the bank market at a lower cost to capital. As a refresher on MD America, we made an initial investment led by our energy team in November of 2018, where we closed on a $200 million first lien term loan of what Sixth Street platform held 40% of the deal. Since our initial investment, there’s been a series of amendments ultimately resulting in the company filing for Chapter 11 in October 2020. Our asset management capabilities along with our flexible capital base allowed us to be a value-added partner, resulting in a successful emergence from bankruptcy in December of 2020, with the lenders receiving 100% of the first reorder equity. During Q1, we completed the sale of MD America to WildFire Energy, representing a full exit for six weeks 40% ownership interest in the company. At the time of our investment in 2018, we underwrote to a 12.8% IRR and a 1.30x MLM, and ultimately generated a 24% IRR and a 1.82x MLM, further demonstrating our ability to create value for our shareholders in complex situations. After these two repayments, our energy exposure decreased to 1.7% of the portfolio at fair value. One other notable exit during the quarter was our investment in Designer Brands, which is one of our ABL retail portfolio companies. We made our initial investment in Designer Brands back in August of 2020 when the retail sector was suffering from the shutdowns prolonged by the global pandemic. Because of our strong balance sheet positioning, we were able to play offense during this time, by providing capital for borrowers and needed in several COVID impacted industries. During the quarter, the company retained the outstanding balance of its term loan credit facility and we’re receiving 3% prepayment premium on the outstanding balance. Since inception with an inclusive of this quarter’s Designer Brand exit, we generated an average gross unlevered IRR of 20.1% across our fully realized ABL investments. On activities levels generally, we saw a pickup beginning in March and we are optimistic about our originations and funding pipelines heading into the rest of 2022. The direct lending landscape remains competitive. We continue to pick our spots to remain selective in our opportunity set, which is expanding alongside the growth of the Sixth Street platform. As demonstrated by the returns generated during this quarter’s from our E&P and retail ABL names, we’ll look to opportunistically deploy capital in areas where our platform’s ability to underwrite and navigate complexity allows us to create excess returns across our portfolio. From a portfolio yield perspective, funding and repayment activity this quarter have a slight positive impact for weighted average yield on debt and income-producing securities at amortized cost. Yields are up slightly to 10.3% from 10.2% quarter-over-quarter, and are up about 17 basis points from a year ago. The weighted average yield at amortized cost on new investments, including upsizes of this quarter was 10.6%, compared to a yield of 9.8% on exited investments. Moving on to the portfolio composition and credit stats, across our core borrowers for whom these metrics are relevant, we continue to have a conservative weighted average attach and detach points on our loans of 0.8 times and 4.5 times, respectively, and their weighted average interest coverage remain relatively stable at 2.9 times. As of Q1 2022, the weighted average revenue and EBITDA of our core portfolio companies was $117 million and $31 million, respectively. Finally, the performance rating of our portfolio continues to be strong with a weighted average rating of 1.13 on a scale of 1 to 5, with 1 being the strongest. We continue to have minimal non-accruals that less than 0.01% of the portfolio at fair value, with no changes from the prior quarter. With that, I’d like to turn it over to Ian to cover our financial performance in more detail.
Ian Simmonds: Thank you, Bo. For Q1, we generated adjusted net investment income per share of $0.49, and adjusted net income per share of $0.56. At quarter end, total investments were $2.5 billion, down slightly from the prior quarter as a result of net repayment activities. Total principal debt outstanding at quarter end was $1.2 billion and net assets were $1.3 billion or $16.88 per share prior to the impact of the supplemental dividend that was declared yesterday. Our average debt to equity ratio decreased slightly quarter-over-quarter from 0.99 times to 0.95 times and our debt to equity ratio at March 31, was 0.91 times. We continue to have ample liquidity with $1.2 billion of unfunded revolver capacity at quarter end against $147 million of unfunded portfolio company commitments eligible to be drawn. Post-quarter end, we further enhanced our liquidity and debt maturity profile by closing an amendment to our revolving credit facility. With the ongoing support of our lending partners, we increased the commitment under the facility from $1.51 billion to $1.585 billion through an upsize from an existing lender and extended the final maturity on $1.51 billion of these commitments to April 2027. Pro forma for the revolver extension, our weighted average remaining life of debt funding is 4.1 years, compared to a weighted average remaining life of investments funded by debt of only 2.1 years. At quarter end, our funding mix was represented by 76% unsecured debt in line with the prior quarter. I’d like to take a moment to circle back on Josh’s comments related to the upward movement in interest rates. During Q1, three-month LIBOR increased from 21 basis points to 96 basis points, and the average floor of our debt investments was approximately 1.1%. At the time of our last call, we expected to reach our average floors in May. And this timeline accelerated as reference rates have been above our average floor since April. To quantify the impact on earnings, assuming our balance sheet and spreads remain constant as of quarter end, but every 25 basis points increase in rates above our average floors, we would expect to see approximately 20 basis points of ROE accretion or an incremental $0.03 per share of net income on an annual basis. We can further illustrate the potential impact by using the forward yield curve with the projected three-month term SOFR to the 2.9% in one year from quarter end. Assuming all else equal as of the quarter ending Q1 ’22, an increase in base rates to 2.9% would imply 150 basis points of ROE accretion or incremental $0.25 per share of net income annually. Moving on to our presentation materials, Slide 8 contains this quarter’s NAV bridge. Walking through the main drivers of NAV growth, we added $0.49 per share from adjusted net investment income against our base dividend of $0.41 per share. There was a $0.24 per share reduction to NAV, primarily from the reversal of net unrealized gains on our position in MD America, as we booked these gains as realized upon sale. The negative impact from widening credit spreads on the valuation of our portfolio with $0.05 per share. And there were minor negative impacts related to the mark-to-mark on our extend – on our outstanding swaps that are not designated as hedging instruments, which amounted to $0.04 per share. Finally, there was a $0.42 per share positive impact from other changes, primarily realized gains on investments were $0.18 cents per share, and portfolio company specific events were $0.22 per share. Moving on to our operating results detail on Slide 9. Total investment income for the quarter was $67.4 million compared to $78.3 million in the prior quarter. Walking through the components of income, interest and dividend income was $58.8 million, down slightly from the prior quarter driven by net repayment activity during Q1. Other fees, representing prepayment fees and accelerated amortization of upfront fees from unscheduled pay downs were lower at $6.9 million, compared to $14 million in Q4, given the elevated portfolio activity we experienced in Q4. Other income was $1.8 million, compared to $2.6 million in the prior quarter. Net expenses, excluding the impact of the non-cash accrual related to capital gains incentive fees were $29.9 million, down approximately 8% from prior quarter. Despite the upward movement in reference rates, our weighted average interest rate on average debt outstanding remained relatively flat quarter-over-quarter, primarily from the one quarter timing lag on the reference rate reset date on our interest rate swaps. Before passing it over to Josh, I wanted to circle back on our ROE metrics. In Q1, we generated an annualized ROE based on adjusted net investment income of 11.6%, and an annualized ROE based on adjusted net income of 13.2%. This compares to our target return on equity of 11% to 11.5% for the year, as articulated during our Q4 earnings call, and we maintain this outlook heading into the rest of 2022. With that, I’d like to turn it back to Josh for concluding remarks.
Joshua Easterly: Thank you, Ian. I’d like to close our prepared remarks today by encouraging our shareholders of record for our upcoming Annual Special Meetings on May 26 to participate and vote. Consistent with the past five years, we’re seeking shareholder approval to issue shares below net asset value effective for the upcoming 12 months. To be clear, to-date, we have never issued shares below net asset value under the prior shareholder authorization granted to us  past five years. We have no current plans to do so. We may only view the authorization an important tool for value creation and financial flexibility and periods of market volatility. As evidenced by the last eight plus years since our initial public offering, our part for raising equity is high. We’ve only raised equity when trading above net asset value on a very disciplined basis, so we would only exercise this authorization issue shares below net asset value if there are sufficient – sufficiently high risk adjusted return opportunities that would ultimately be accretive to our shareholders to overearning our cost of capital and any associated dilution. If anyone has questions on this topic, please don’t hesitate to reach out to us. We have also provided a presentation which walks through this analysis in the Investor Resources’ section of our website. As a final thought for today’s call, we are extremely optimistic about the road ahead. With current market conditions in mind, we believe the value proposition for our business has never been better for both of our clients and shareholders. The declining purchasing power from the impacts of inflation have only underscored the value proposition of our franchise as a source of alternative returns for our shareholders, which we believe to be sustainable. As in for our clients, we’re prepared to provide capital with speed and certainty through periods of volatility in public markets. As the credit cycle continues to evolve based on tiny – monetary policy implemented by the Fed, we believe our low leverage and significant liquidity profile positively positions us to play offense in the event of a market dislocation. These types of – dislocation have been our greatest periods of outperformance in the past. Although we cannot predict what is ahead, we sort of rebuild the robust business model of the forms of the cycle. In closing, I wanted to call out how refreshing it is – how refreshing that has been feedback in the office and be able to interact face-to-face with friends and colleagues and clients and stakeholders. I know that   collaborating in person will continue to provide new motivation ideas as we push further into 2022. We especially look forward to resuming our annual tradition on the Sixth Street off site, we gather approximately 400 strong team in Austin, Texas. To our stakeholders, thank you for your continued interest in Sixth Street Specialty Lending. With that, thank you for your time today. Operator, please open up the line for questions.
Operator: Thank you.  Our first question comes from Mickey Schleien with Ladenburg. Please go ahead.
Mickey Schleien: Yes. Good morning, everyone. Hope you’re doing well. Josh, I’m sure there’s a ton of questions on interest rates. But I’m going to start with one. On Page 13 of the investor presentation, that shows that the weighted average spread on your floating rate investments came down as LIBOR increased. But I suspect that was probably reflecting the lag in the repricing of the assets. And when I look at the interest rate risk table in the Q, as you mentioned in your prepared remarks, you would expect your net interest margin to expand with higher rates. But that assumes everything remains equal, which it never does, right. So, I’d like to ask what’s your view on how you think the private lending market will react to higher short-term rates in terms of maintaining spreads?
Joshua Easterly: Yes, hi Mickey. Can you repeat that last part of the question? What was the last part of the question?
Mickey Schleien: The last part of the question is you know we’re looking at a forward LIBOR curve or SOFR curve that’s very steep. So I’d like to ask what’s your view on how the private lending market will react to higher short-term interest rates in terms of maintaining spreads?
Joshua Easterly: Yeah, it’s a question top of mind for us. So first of all, I think one thing to note is, that the ceiling of the LIBOR curve or SOFR curve they’re about the same when you think about credit spread adjustments, has had an extremely positive impact on the business. If you were to look back at September of last year, we would have probably had $0.09 to add on investment income line, so not net income line, but investment income line, to get through our LIBOR floors. And you know we estimate that to be only about $0.02 today. What tends to happen in our market, and hopefully people will be thoughtful about this. They tend to pricings in an IRR basis, and they don’t differentiate between spread in a risk free. And so you know, hey, we were doing something at 10% or 11% IRR. And hey, we’re still doing a 10% alone versus an IRR and therefore you know that the pricing with a reduced spread, not really – not realizing or maybe realizing that a lot of that’s coming from risk free. And so I hope the industry reacts differently. I don’t – we – I think we have mass of sensitivity in our book coming for sure how much the industry captures is, I think a key question. And all things being equal, you want is spread and low return instead of risk free SOFR or LIBOR. But you know I think that the key question, and hopefully the industry at you know, does it – does allow one for one tradeoff between the return attribution between risk free and spread.
Mickey Schleien: Yeah, I understand. Thanks, Josh. A couple of housekeeping questions. What are your expectations for settling the convertible which is coming up? And also what is the level of undistributed taxable income?
Ian Simmonds: Yeah, sure. Hey, Mickey, it’s Ian. I’ll take that one. On the convert, we had to make an election in six months prior to maturity. So that was actually on February 1. And we elected to settle the converts primarily in stock, and is about $100 million principal amount of Converse’s outstanding today. And that settlement is about, I think it’s basically all-in stock. Because there’s de minimis amount of cash about $2 million out of that $100 million in principal.
Joshua Easterly: I mean it’s slightly accretive of the net asset value, because those will be issued above NAV. And slightly, I would say, slightly you know could be dilutive on earnings although the least valve of that is $0.61 of undistributable earnings. So $0.59 of undistributable earnings plus we expect some growth in undistributable earnings from you know expected realizations above the current marks. And so, I think you have – obviously we expect to grow above and keep leverage steady or in our target leverage ratio. If we don’t, you’ll obviously can use special dividends to make sure you’re still capital efficient. We think we have enough spillover income plus kind of pipeline unrealized gains that you know allows us to give us that flexibility.
Bo Stanley: And so maybe you should think of it the same way we addressed some early conversion in Q4 of last year, and then we  a special one, that’s a tool that we felt was an efficient way to achieve those goals.
Mickey Schleien: I understand. What did you say the UTI balance was?
Bo Stanley: $0.59 per share.
Mickey Schleien: 5-9?
Bo Stanley: Yes.
Mickey Schleien: 5-9? Okay –
Bo Stanley: Correct.
Mickey Schleien: That’s it for me this morning. Thank you for taking my questions.
Joshua Easterly: Thanks, Mickey.
Operator: Thank you. Our next question will come from Kevin Fultz with JMP Securities. Please go ahead.
Kevin Fultz: Hi, good morning and thank you for taking my questions. My first question is similar to one of the Mickey’s questions. You know given that the economic outlook has shifted in the past few months, are you seeing less competition in the market from other lenders? Just curious if you’re beginning to see a shift to a more lender-friendly environment either in the form of improved documentation or widening loan spreads?
Joshua Easterly: Hey, Kevin. I don’t think we’ve seen it yet. I think there’s a couple forces kind of in the market. One is, typically private markets react slower to the public markets. The second thing that happens, I think is that there’s a decent amount of capital formation in the private credit market, which you know I think had some – somewhat of a muted impact on the pendulum shifting. I think the kind of a tailwind. So I think those are the two headwinds. The first headwind of the slow to react kind of goes away over time. The capital formation is what it is. The tailwind I think is that the clearly private, given that there’s the TAM has expanded from private credit, which is the volatility of public markets allow – you know I don’t want to say that, people willing to pay for certainty in the context of the volatility of public markets which increases the TAM for private markets. And I think with that increased TAM, I think that will be a tailwind maybe it’s a pendulum shift.
Bo Stanley: I’d also say, because the slowdown in M&A earlier this year, you know it’s created a lot of I’d say supply out there that hasn’t been deployed earlier. So, that will keep tension in the market, I suppose.
Joshua Easterly: Well, anything to add?
Ian Simmonds: You know with both those statements, we haven’t seen evidence you know lining of spreads or better terms at this point, though as we’ve seen in my remarks, I noted this the top of the funnel start to fill off, I think you know there’s going to be opportunities to pick our spots. In particular as Josh mentioned in some of the opportunistic non-sponsor activities that we see is as companies looking to shore up their balance sheets, and play offense in a different valuation of market so.
Joshua Easterly: But the TAM is surely going to expand, given volatility in public markets and issuers and sponsors and looking for certainty which should help the capital from each issue.
Kevin Fultz: Okay, great. That’s all really helpful. And then just one on leverage. Your stated target leverage range is 0.9 to 1 this quarter. As of quarter end, you’re at the low end of that target. Are you still comfortable offering anywhere within that range? Or has your internal target changed a bit in the current environment?
Joshua Easterly: So no, I look – I think, given the uncertainty in the world, I don’t think we’re going to operate at the top end of the range. I think you know how we think about our business and how we think about leverage is, you got to burden the – both the capital and liquidity by unfunded commitments and change of spreads given the mark-to-market piece on the outside of our – asset side of our balance sheet. And you also want to have a whole bunch of dry powder to invest in volatile moments, which quite frankly lead the feeds to the outperformance in 2000-2021. I think the industry had to return on equity for 2021 of about 10%. And we had to return on equity of about 35% or 36% and over those two years. And that was a function of us having enough capital, enough liquidity to make investments and given the change in the economic environment, I don’t think we’re going to operate at the real top end of our leverage, given you know we think there’s volatility coming, which means, there’s probably opportunity coming, which means, that the – our capital as you know, relatively our capital liquidity has a relatively high opportunity cost.
Kevin Fultz: Okay, that makes sense, Josh. And I’ll leave it there. Congratulations on a really nice quarter.
Joshua Easterly: Thanks.
Operator: Thank you. Our next question will come from Finian O’Shea with Wells Fargo Securities. Please go ahead.
Finian O’Shea: Sorry, it’s on mute. Hi, everyone. Good morning. Josh or Bo, last quarter you talked about the opportunity budding in growth equity, late-stage growth equity to provide you know junior preferred structures. We’ve heard some of that from your peers as well. Can you talk about how that is. We obviously – we didn’t see too much this quarter. But logically, we would have hoped to given those a lot of those assets have continued to lag in the market. Is this something that’s still you know around the corner? Or have these types of opportunities faded?
Joshua Easterly: So I think it’s most definitely an opportunity. The question is that how appropriate is going to be however given the structures and the nature of those opportunities for the Sixth Street Specialty Lending fund. Across the platform, for example, we will evolve in to say that data is data transaction within an investor and say, which we think is an amazing company, we think the CEO is amazing for a long time. And so I think those opportunities are coming. The question is you know we’ll pick the right ones that fit into the balance sheet and how we’ve positioned Sixth Street Specialty Lending, given that we think about our dividend as a liability to the business. I think during the pandemic, people realized there’s a liability to the business, because you had to pay to keep your rig status, you had to pay your dividend in cash, you had some flexibility in stock, but it’s really people to think about their dividend as the cash liability. So, the question is appropriateness and sciency. But I think there’ll be spots to pick you know over the next couple years, and we think that you know that the right growth businesses that have the right even economics or return on capital, and the right TAM and addressable market still you know there’s still some opportunity there. Bo, anything to add?
Bo Stanley: Yes. Going through with all other, I think the opportunity set that you know we’ll pause for a bit you know valuations in the private markets resetting. I think the opportunities that will be there and strong with everything Josh said with the property is the tool, we’ll pick our spots, and it’s a market that we’re quite active on across the platform and having the brand recognition.
Finian O’Shea: Sure, that’s helpful. And then, Josh on the platform level, we saw a couple new groups set up this quarter,   Capital Group, the Structured Products Group. Anything you want to talk about there in terms of you know director or ancillary benefits to the BDC platform?
Joshua Easterly: Thanks for the commercial opportunity, my friend. So I loved always Northern Capital. You know generally Northern Capital, we have a great leader that visits and we think we can be value-add to portfolio companies and the value proposition of Sixth Street only grows. On such a product you know, we – we’ve hired Mike Dryden, who known for a long, long, long time. We ran that business at Credit Suisse. And we most definitely think it will be lending opportunities in that space that will come to the platform. You know, there’s that good asset bad assets then you got to be sensitive to, but we will I think there was you know an opportunity and you know, Mike came in as a lateral partner we’ve known for a long time and super talented and has a big brand in that face. And so we think there most definitely will be continuing to build and mosaic and skill set of the organization we think only enhances the suggested returns for Sixth Street Specialty Lending. Bo want to discuss Northern Capital.
Bo Stanley: Now we are you know very excited to have brought on Jeff Stone is a four-time CEO of technology businesses to help us build out that effort. You know this will help our, you know portfolio companies with a lot of common problems they experience in building and scaling businesses. You know so super happy to have him on and I think you’ll hear more from that group over the next couple of years.
Finian O’Shea: Great, that’s helpful. Thanks so much.
Operator: Thank you. Our next question will come from Bryce Rowe with Hovde. Please go ahead.
Bryce Rowe: Thanks. Thanks a lot. Good morning. Wanting to maybe start just on market activity. Bo you mentioned some level of pickup in March. Maybe you could speak to is that more kind of seasonality of the business or you know the source of the pickup would be? Any color around that would be helpful.
Bo Stanley: Yes, it’s a bit of both, there’s always a bit of a seasonal Q1 lag as Q4 is a generally quite active from an M&A market. So that is pretty typical, I think what was a little bit unique in this quarter as we did have you know the valuations reset in the public markets. That’s sort of pause generally on you know buyers and seller activity in the M&A market. So activity slowed as I mentioned in my remarks, and in addition to that, we saw spread widening, so opportunistic refinancings slowed down. You saw that begin to unthaw in the back half of the quarter in the top of our funnel pipeline really started to fill with more opportunistic M&A, you know both you know public to private, but also portfolio companies and looking to be opportunistic in the valuation environment. Secondly, you saw a pickup in non-sponsor activity. As you know, the strongest companies in these periods will look to shore up their balance sheets, both for to invest internally in growth, but also opportunistically in M&A. So between you know what we have going through the pipeline that we’ve already committed to, we’re pretty bullish on the opportunity set.
Joshua Easterly: And Bo you would say that unthaw kind of happened a lot sooner than we would have expected you know usually takes a quarter or two, it was a little bit, especially given the move in tech valuations.
Bo Stanley: Exactly.
Joshua Easterly: So I think that’s I think you hit it, which is some seasonals, some market volatility and market volatility in terms of flow, both M&A and opportunistic refinancing, it feels like it’s gotten a little bit quicker than typically than I would have thought.
Bryce Rowe: And do you guys feel like you know prepayment or repayment activity will slow here with the volatility and with higher rates? Or do you have pretty good line of sight into you know continued repayment activity, exit activity?
Joshua Easterly: Yeah. I would say so. Typically we’re unlike mortgages, we’re not a sensitive to rates on prepayment speed. We’re at spreads and so – and idiosyncratic events. I would say that you would expect that there’s you know that – the sign that we discussed a second ago, that will have some impact on our portfolios or you know portfolio companies that were up for sale. Now might trade that didn’t trade before. And so you know there will be – relatively outside of the energy books, given the commodity price environment in Q1, there was you know very little you know kind of repayment activity that was involved in the repayment activity. Given that commodity price environment, I would expect it to kind of get back to normalized levels to some extent.
Bryce Rowe: Okay, all right. Maybe one more for me just on the right side of the balance sheet. And this may be a tough question to answer. But you’ve got unsecured note maturity early in ’23 just you know kind of curious how you’re thinking about you know how you might handle or how you might handle it today if it were today you know with spreads haven’t – having widened and rates having widened for unsecured debt in the BDC space?
Joshua Easterly: Yeah. So look, I think our unsecured spreads have less beta than other, especially given the upgrade and getting the quality of the franchise we built. The great news is, we have about 1.1 billion – 1.3 billion growth of unfunded commitments available to draw a building you know 1 billion to 1.2 billion of total liquidity burden for unfunded commitments. I think that maturity is like 150 million?
Ian Simmonds: 150.
Joshua Easterly: 150. And so I think we have a lot of optionality and flexibility and reward to do it on our line today. Ian, correct me if I’m wrong, that – what is that on a flop adjusted basis what is that maturity? It’s like probably LIBOR 200 some like that?
Ian Simmonds: Yeah.
Joshua Easterly: At LIBOR 200. If you think about a marginal cost of capital on a revolver of, yeah I think it’s about LIBOR 150, because you offer value line fee or the commitment fee. And so if we were to do it on a revolver you know we have 1.1 billion, 1.2 billion were for unfunded commitments, and we actually would be accretive to our cost of capital. And I think that 150 is actually LIBOR we got 200, 199. And so you actually pick up 50 basis points you know interest saving $150 million on a net basis and a marginal basis if you were to do it online, we have a ton of liquidity.
Bryce Rowe: Okay. All right. That’s helpful. Thanks, guys.
Joshua Easterly: Thank you.
Operator: Thank you. Our next question will come from Melissa Wedel with J.P. Morgan. Please go ahead.
Melissa Wedel: Good morning, and thanks for taking my questions today. First of all on your current stance about expressing repayment activities, normalize a bit, but it will make sense in the context of what’s happening with rates. We also recognized that the repayments that you guys have had over the years have driven a lot of sort of upsized fee income. So I’m curious how you’re thinking about sort of that line item and the potential for you know what the trajectory can be on the fee income as repayments normalize? Thank you.
Joshua Easterly: Yeah, I think it was really hard to hear. But what I think I heard, you can say, you can correct me if I heard this wrong, I think I heard is, what do you think about the impact of income – on your income statement as prepayments normalize? I think it – was that the question?
Melissa Wedel: Yes, that’s it, Josh. Thanks.
Joshua Easterly: Okay, great. Look I think typically fees, I’ll try to get you the exact data. This is a row kind of attribution quarter for us. So historically on average, we get the exact data between accelerated OID, prepayment fees and amendment fees that typically is, call it, on an annualized basis.$0.47, $0.52 per quarter per share basis divided by 4 is you know what $0.14 a quarter. I think this quarter was $0.07, $0.07 to $0.08?
Ian Simmonds: $0.09 –
Joshua Easterly: $0.09. So it was definitely low in this quarter. So you know I think that’s historically you know how we’ve operated. I think our worst year and yeah so I would say you know you could expect it to be you know kind of probably $0.03 to $0.07 more per quarter or something like that. Given activity levels, but you know that they’re surely you know, lumpy quarter-to-quarter.
Melissa Wedel: Understood, thank you.
Operator: Thank you. Our next question will come from Ryan Lynch with KBW. Please go ahead.
Ryan Lynch: Hey, good morning. First question I had, if I understand your comments correctly, it sounds like the slowdown in Q1 was partially driven by, I think seasonality with kind of a very robust second half of 2021. Also in combination with, I think some economic uncertainties about what the rest of 2022 looks like. And Bo, you kind of said that your pipeline had now been growing kind of to end Q1 and into 20 – into Q2. My question is, is a little bit confusing just because or a little bit surprising I guess, just because the economic uncertainty seem you know as high as they’ve ever been with rising inflation, labor issues, decreasing equity valuations, geopolitical things out there. And so I’m just curious of why is the pipeline seem to be building at the same time that the economic uncertainties are also on building?
Joshua Easterly: How do you square that rally around that square peg into question. I think I think the answer lies in the amount of private equity dry powder out there to be honest with you, which is most of the activity a lot of is private equity-driven. And you know there’s always this greed fear thing, which is sometimes the best time to invest and a long-term investors is when there’s volatility. And you know there is a ton of dry powder in the private equity. And you’re starting to see them put that to war. You know – a great example that’s not – that was in the Sixth Street Specialty Lending portfolio, but like you’ve seen you know that can  which is a publicly-traded company, and to say it was a private equity-backed company from inside ventures. And so you’re seeing you know, sponsors you know in certain industries putting you know money to work given the uncertainty.
Ryan Lynch: Okay. That has – because obviously those fears and uncertainties are all well known in the marketplace, everybody’s operating with all our eyes wide open at this point. So with that, has the quality of deal flow or the quality of companies that are transacting at least potentially transaction in the pipeline? Have they improved you know to be higher quality companies that are potentially in good positions to weather these headwinds? You noticed any change?
Joshua Easterly: Yeah. These are really good questions. Look, I would say I think there’s one nuance, I think everybody sees the uncertainty. I think people have very divergent views on how the uncertainty is going to play out. Soft lending, maybe not soft landing you know how do you deal with the employment gap? You typically I think, maybe never seen a recession if you haven’t seen unemployment increase by 50 basis points. I know I can’t say worldwide unemployment increases by 50 basis points given the employment gap. That’s why I say I don’t think there’s going to be – that’s why I think there’s going to be far planning or not, so I think there’s clearly divergent views. But we mostly see the activity around businesses that have stronger business models that are able to push through cost and have high gross margins and have operating leverage and you know still can grow earnings. And so I think you know I think there’s very divergent views, but the quality of the businesses are high. The valuations I think you know people have different views are given the environment. I think we’re less impacted by that given where we’re invested in capital structure.
Ryan Lynch: Okay. Understood. I appreciate your time today.
Joshua Easterly: Thanks, Ryan.
Operator: Thank you. Our next question comes from Kenneth Lee with RBC Capital Markets. Please go ahead.
Kenneth Lee: Hi, thanks for taking my question. Just one on the investment portfolio. It’s pretty diversified across industries right now. But I wonder if you just talk a little bit about how you’re thinking about portfolio positioning, any marginal shifts within across industries just given the current backdrop and the near-term outlook? Thanks.
Joshua Easterly: Yeah, I mean, that’s a good question. I don’t think there’s any big marginal shifts. Look, I think energy is an interesting space. What we typically don’t like to wind into higher commodity price environments. But there’s been a lot of capital outflows across the energy sector, both in the private and public side, given two big factors, one factor is, ESG issues or concerns and the second factor is, that sector historically have been a terrible allocator of capital, which is, you have this correlation which is you know as the prices are high people putting more capital that feels like it’s been less you know there is like it’s been muted given energy companies focus on free cash flow versus net asset value growth and the ESG concerns. So, I know – we – our net energy’s exposure has gone down significantly. I think it’s like – 1.7% of the book today. I think there’s room there you know but will be very you know thoughtful about how we do it. On retail, that’s come down to the precision of our portfolio historically as well. Retail and is I think today is the exact amount is 10.7, I think has been high as you know 20% or something like that. But you know you’ve had a backdrop of a strong consumer and strong earnings from retail, and the world was over kind of retail and that kind of got flushed or got changed in the pandemic. And so as the consumer softens or discounting comes back in, and there’s more volatility in retail earnings, I think that might change. So I think on the margin, but I think it’s in the bands of historically what our portfolio has been. But if you look at those two segments for sure, we’re under-allocated, given where we are in the cycle. You know I expect there to be some versions of the meaning for. Is there anything to add?
Kenneth Lee: Great, very helpful there. One follow-up if I may and just from a high level in terms of the ROE looks like they’re maintaining your ROE targets, despite having you know 13% ROE in the quarter. One of you just talk a little bit about how you think about ROE over the near-term? What are some of the major puts and takes that can impact the ROE one way or the other? Thanks.
Joshua Easterly: Yeah, I mean that when you think about our business from a unit economics business, a unit economics perspective, the things that impact ROE is yields, leverage, so capital efficiency, which is a function of net payoffs, plus how we manage or net portfolio growth in a negative positive. And then how do we manage our access capital, we’ve historically managed that through a combination of you know growing our capital base to address and you know special dividends and credit losses. I feel pretty good about where we sit in credit losses. I actually think there were some you know depending on how things play out some upside of that in the book unrealized – realized gains that exceed our current marks. And so, that will have a positive impact to ROE. So I don’t see any going near-term credit losses. So ultimately the function of you know yields and capital efficiency and we’ve done a pretty good job of managing both.
Kenneth Lee: Great, very helpful. Thanks again.
Operator: Thank you. Our next question will come from Matt Tjaden with Raymond James. Please go ahead.
Matt Tjaden: Hey, all, good morning. First question for me on the ABL product. You know given your ABL loans, they generally fund working capital and higher inflation tends to drive up both the cost of inventory and working capital needs. Do you think there’s any chance higher inflation might actually drive a higher demand in the market for your ABL type products?
Joshua Easterly: Yeah, I mean, the offsetting factors that the consumer has been in really good shape. And so when you look at gross margin, and EBITDA margin expansion across you know retail which we’ve done, you know quite frankly we’ve been involved in Neiman Marcus across the platform for a long time. The income statements are in really, really good shape, given the lack of discounting and given consumers post the pandemic. And so, you’re right, that there’s a you know more working capital need, but you know income statements, you know you find working capital through you know strength of income statements and free cash flow and then you know the balance sheet either operating cash flow, income statement or financing. And so I think that’s the offset. And retail have to be in really good shape at the moment. That could change on a dime for sure.
Matt Tjaden: Got it. That’s helpful. Last one for me, maybe following up with you, Josh. Kind of more high level, what’s your outlook for the year end 2022 private credit default environment and how much has that changed versus you know five months ago at the beginning of the year?
Joshua Easterly: I still think it’s pretty low. You know I think the trigger questions 23 and 24. But if you look at our book, I think it’s pretty low. If you think about the recent vintages of deals you know those companies have had you know earnings growth and started off with good liquidity. And you know, the private credit has been slightly, I think that the software and tax. And so it feels like it’s pretty well you know not that much exposure of cyclicals or we don’t have much exposure to cyclicals. So I feel pretty constructive about the fall cycle for ’22 for generally – for general credit, especially private credit. I let Bo or Fishy do you have anything to add?
Michael Fishman: I think, 23, 24 it’s an alternative question, but I think I would expect pretty low default rates across the sector.
Joshua Easterly: I can tell you, industry that are going to be hurt or where there are kind of low EBITDA margin businesses where they’re relatively competitive businesses where they’ve had commodity price inputs they can’t pass along to consumers, those industries are going to be hurt. So you know paper packaging you know, non-specialty chemicals. And you know I think I’m not calling to both of those titles, but any industries that have relatively low EBITDA margins, and no pricing power and you know high commodity and plugged into there is a cost structure. I think those are the industries that are you know have a higher chance of being hurt.
Matt Tjaden: Got it. That’s helpful. I appreciate the time.
Operator: Thank you. And we do have a follow-up from Finian O’Shea with Wells Fargo Securities. Please go ahead.
Finian O’Shea: Hey, thanks so much for the follow-up. Josh I was thinking a bit more from our dialogue on preferreds. And I appreciate your commentary and logic on avoiding too much pick. But is there a firm line there you’re drawing in the sand? Or is there somewhere on the curve of returns where you would take on these sorts of deals? And I asked because in today’s environment, the outlook could very well be that this type of company turns out to be the provider of a large structured rescue type opportunity that you’ve done really well on in the past, obviously. So yeah, question is, is this a hard line in being anti-pick? Or is it just not good enough today?
Joshua Easterly: No, I don’t think we have a hard line just to – where we are as Mike Fishman filing. We are looking at our overall balance sheet, we got tons of liquidity. So you know we like to think about funding our dividends from operating areas and we have tons of liquidity, I think it’s a combination of bottom up investors where so finding the right opportunities that fit right into our balance sheet. I don’t see us being a large provider of rescue financing in a junior capital division. Our strategy has historically events running rescue financing of the capital structure, we were not the full run. And we’re not taking process risk. So I think if you see us doing some of that type of investing as in companies we really, really like with clean capital structures, great prospects, secular growing and healthy businesses is the way I would you know, generally characterize our strategy. And then like what I think the fundamental question is, does the risk return work, which is, I said this many, many, many times, you can’t eat IRR. And so in a investment structure where you make you know – where you can get like you know 11% to 12% of preferred, but it’s callable. And so your yield – your enrollment or worse is like 1.2 times, but you’re deep down a capital structure and you’re going to lose a lot of your capital like that doesn’t work I think. And so you have to be thoughtful about the probability of returns and returns given a default or you know not being the fulcrum and so I think we’re bonds of investors and there’s no hardline and but you know we like some of those opportunities we aren’t like others.
Operator: Thank you. I’m showing no further questions in the queue at this time. I would now like to turn the call back over to management for any closing remarks.
Joshua Easterly: Great. Look, we really appreciate people’s time. We’re actually on the West Coast today. So this is slightly painful for me getting up at 4:30 in the morning you know get going. But we really appreciate people’s time. You know, Mother’s Day is coming up, I think so in our tradition, we hope everybody take the time to spend with their families and appreciate the people in their life and Happy Mother’s Day to everybody out there who’s listening, including you know our significant others. So I – we really love the dialogue. If you make your way to New York or San Francisco, feel free to stop in and we’re welcoming people back in our office, given the environment. Thanks, everybody.
Ian Simmonds: Thanks
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.